Operator: Good afternoon, ladies and gentlemen, and welcome to the C.H. Robinson First Quarter 2008 Conference Call. At this time, all participants are in a listen-only mode. [Operator Instructions] As a reminder, this conference is being recorded today, Tuesday, April 22nd, 2008. I would now like to turn the conference over to Angie Freeman, C.H. Robinson Director of Investor Relations. Please go ahead, Miss. Freeman.
Angie Freeman - Director of Investor Relations: Thank you. On our call today will be John Wiehoff, CEO and Chad Lindbloom, Senior Vice President and CFO. John will provide some prepared comments on the highlights of our first quarter performance and we will follow that with a question-and-answer session. I would like to remind you that comments made by John, Chad, or others representing C.H. Robinson may contain forward-looking statements, which are subject to risks and uncertainties. Our SEC filings contain additional information about factors that could cause actual results to differ from management's expectations. With that, I'll turn it to over to John.
John P. Wiehoff - Chief Executive Officer and Chairman of the Board: Thank you, Angie and thanks to everyone who is taking the time to listen to our first quarter conference call. About an hour ago we issued our press release sharing our results for the first quarter of 2008. I'd like to start by highlighting just a few of the key financial result on that release. For the first quarter ended March 31st of 2008 our gross revenues increased 22.6% to just under $2 billion. Our net revenues increased 13.8% to $338 million. Our income from operations increased 18% to $136 million. Our net income increased 18.3% to $86 million and our fully diluted EPS increased 19% to $0.50 a share. In that press release we've shared more details on the mix of volume, pricing and margin growth by each of the transportation modes and service offerings that we report on. So, I am not going to read those now but rather we thought what might be helpful this quarter is to discuss some of the market conditions and how they impacts several parts of our business. I'd like to start the first half, I think to share some thoughts on fuel and fuel prices and how they impact our business. We get to ask often how fuel affects our business. As most of you likely know diesel fuel prices increased very significantly during the first quarter. Fuel prices have always fluctuated and the way that Robinson adjust for fuel and how we manage our business has not changed but given the significant increases we thought it would be worthwhile to talk through several aspects of our business relating to fuel. Our transportation gross revenues increased by 26%. That gross revenue increase is made up of volume and price increases for each of the various modes of transportation as we summarized in the release. In our Truckload Transportation Services, the largest source of revenue, we discussed that our growth consisted of 15% volume and 8% price increases. Our best estimate of the impact on fuel prices on our truckload transportation is that the overall price increase of 8% would have actually declined by a couple of percent if fuel prices had remained constant to the first quarter of 2007. Fuel prices had a significant impact on our gross revenue increases for the quarter. We wanted to highlight that impact on our gross revenues as well as highlight the fact that it is an estimate on our part, given that we are a third party and we contract for or hire the underlying capacity. We cannot always be certain as to the precise cost of fuel or the pricing adjustments that the underlying providers include. While some of our shipments provide more specific fuel surcharge adjustments to the shipper or the carrier, many are priced as an all inclusive rate with no specific fuel component or adjustment. We know that the fuel was a major contributor to our increase in gross revenues for the quarter. Our transportation gross margin declined during the first quarter. At the end of 2007, we discussed the possibility of that happening this year due to the fact that we were at high-end of historic ranges for gross margin percentage during 2007. Gross margin percentages are impacted by many things including the supply and demand conditions in the market and our effectiveness in buying and routing the capacity. Fuel prices can also affect our gross margin percentages as for some portions of the business raise our adjusted for fuel through surcharge formulas. On the Transactional business, with all inclusive rates that adjust daily, we're not able to isolate any pricing of gross margin impact due to the changes in fuel prices. We can make estimates assuming pricing similar to other transactions with surcharges, however, we cannot be certain about differentiating adjustments from fuel versus other market impacts. We believe the price of fuel contributed to our declines in gross profit margins this quarter. In addition to the fuel impacts on gross revenue and gross profit margins there is also a correlating impact to our accounts receivable on working capital. The significant increase in gross revenues also drove an increase in our accounts receivable. Our accounts payable also increased this quarter but at a slower rate due to increases in quick pay and carrier advanced programs. Another impact of fuel to highlight is on our subsidiary T-check, which is recorded in the information services revenue. T-check earns transaction fee for processing and settling fuel purchases. Some of those fees are based on a percentage of the purchase and the increase in the price of fuel increases our fee income. The last thought to share around fuel is that it does impact our relationships on both the shipper and carrier side of our business in ways that are hard to quantify. We work with many of our shipper customers to do network analysis projects and help optimize the way they execute. Fuel prices and expectations of future fuel prices can affect those exercises. So, while overall transportation demand has softened the last year, shipper’s overall transportation costs have generally increased due to the price of fuel. Many truckload carriers have been challenged by profitability in the last year or so as truckload demand has slowed and pricing has softened. Many of the carriers believe the market pricing doesn't adjust quickly enough or adequately enough for them with regard to fuel prices. This can be a very emotional issue that often takes the blame for any other market driven price adjustments. These added costs associated with fuel add more stress to managing transportation for shippers, carriers and for us at Robinson. Moving on from discussion around fuel and fuel related impacts through our results, another market condition that we'd like to discuss is around the challenges in the financial community and credit availability and how those impact us. Probably the most visible impact to Robinson in the quarter was our decline in investment income of over 30%. We ended the quarter with cash and investments of a little more than $400 million. That number is fairly consistent with the previous year so the reduction was due to yield decreases. During 2007 and into the first part of the first quarter of 2008, we did have some option rate security investments. We were able to exit those investments at par and do not have any concerns around liquidity or evaluation of our investments. However, with lower interest rates on all investments and as a result of concentrating all of our cash in money markets for the majority of the first quarter, our yields were significantly less than a year ago. We continue to challenge ourselves as to what is the appropriate amount of capital to retain in running the business. As most of you are probably aware, we’ve ramped up our dividend payout rate and share repurchase levels for the past few years to stop the further accumulation of capital. We continued that approach during the quarter as you see in the results that we released. We know that the capital management is a very important part of our shareholder value premise. We talked at year-end that we plan to continue our growth initiatives this year despite some concern about the overall economy. We still believe that makes sense. We are still looking to grow and acquire businesses. And we plan to continue our current capital management approach, which is to keep our cash and investment levels relatively flat through dividends and share repurchases and remain conservative in the investment approach. The last topic for the prepared comments is with regards to our compensation programs, we discussed in our earnings release that the largest variance in our personnel cost as a percentage of net revenues relates to the variable charges in our restricted stock and other incentive programs. Our incentive plans in 2008 are consistent with the past several years and are spelled out in the proxy that we recently filed. So, none of this was new or different information, but we do recognize that our plans were maybe a little unique and so it can be helpful to discuss them. We have several different incentive plans that have variable components to them. The primary driver across most of our plans is earnings growth and earnings growth rates. As we said in our release, our earnings growth this quarter was slower than our earnings growth a year ago, resulting in less expense. Our operating income grew about 18% in the first quarter of this year. Last year our operating income grew approximately 25% for the first quarter. As a result we had less expense associated with expensing restricted stock awards that's best according to our earnings growth. While we achieved our long-term growth goal of 15%, we did not grow our earnings as fast as the previous year, resulting in less expense. Our personnel cost in each quarter are impacted based upon our growth rates compared to the previous year's periods. The other element of our restricted stock program that is perhaps unique and worth highlighting again is that our awards in the program are periodic and not annual. The impact of periodic awards is that we do have variances from year-to-year in terms of the awards that are outstanding and being earned and expensed. If you read through the details of the grants in that proxy you will see that we had significant equity grants awarded that began vesting in 2003 and in 2006. Both of these awards were communicated to our employees as intended compensation for a three-year period. Our current expectation is that we would also have additional equity awards granted later this year that would begin vesting during 2009. While it's difficult to predict due to the variable nature of the awards, it's likely that these awards would increase our personnel costs as a percentage of net revenue in future periods. So, you have got both the earnings growth rate and the amount of outstanding equity awards that have a variable impact on our compensation and incentive programs. We continue to think that our incentive and equity programs are a great way to align our motivations with shareholders. That concludes the prepared comments for the quarter and at this time we would like to open up the lines for any questions that you may have. Question and Answer
Operator: Thank you Mr. Wiehoff. Ladies and gentlemen, at this time we will begin the question-and-session. [Operator Instructions] Our first question comes from the line of Jon Langenfeld with Robert W. Baird. Please go ahead.
Jon Langenfeld - Robert W. Baird: Good afternoon.
John P. Wiehoff - Chief Executive Officer and Chairman of the Board: Good afternoon.
Jon Langenfeld - Robert W. Baird: Can you talk a little bit on the intermodal trends first, intermodal versus truck? Are you seeing any differences there in terms of the type of business that's being presented to you? I know you commented a little bit about it on the press release, just like a little more color there.
John P. Wiehoff - Chief Executive Officer and Chairman of the Board: I would say probably the… another interesting element that I don't believe we mentioned in the press release is that in the intermodal arena a lot of the capacity has been aligned with international shipments. The past several years as those volumes have grown and due to the changes in currency and changes in some of the international freight flows, a lot of the intermodal freight that's aligned with that is probably a little more balanced. So, some of the impacts that we've talked about on the truck side is that certain lanes where truck and rail capacity can compete for each other that there is some variances on where truck is more competitive based on better balancing of the rail freight and alignment with better balanced international freight. So, we have seen some fluctuations in the availability of intermodal capacity and which lanes are competitive from a truck standpoint. But as we did say in the press release overall, we had very nice volume growth in intermodal and plan to continue to ramp up our offerings and capabilities for that mode.
Jon Langenfeld - Robert W. Baird: And are you seeing truck lanes today that are... ships are more willing to take the intermodal route because of the pricing, because of fuel what that's doing to the overall cost structure versus maybe 6 or 12 months ago?
John P. Wiehoff - Chief Executive Officer and Chairman of the Board: I can't think of specific examples where that would be true. So, I'm sure there's always lanes or instances but I wouldn't describe that as a dominating trend or something that we've observed.
Jon Langenfeld - Robert W. Baird: Okay, okay. Fair enough. And then the transaction growth versus the headcount growth, it looks like your headcount is up in the high single digit. Transaction growth at least in truck is up 15%. Is that... can you keep that pace up or is that something over time needs to converge between the headcount growth and then transaction growth in truck at least?
John P. Wiehoff - Chief Executive Officer and Chairman of the Board: We are constantly looking... while there're several things to consider I guess when looking at that. First is those consolidated headcount numbers include a lot of support areas and international areas and stuff, so to really look at kind of the headcount to specifically to the North American truck load volume numbers, you have to kind of give it... look at in pieces that we don't disclose. But, over a long period of time, our goal is to have productivity initiatives that would allow us to have fewer people or a little bit less than the growth rate relative to the truck load shipments. 15% volume and 10% headcount that would be a pretty meaningful spread, that would be a pretty high productivity gain. So, we could certainly experience that for short periods of time and longer-term we would want that relationship to hold true, but I think longer-term productivity gains of having fewer people the spread would be a little bit closer [ph] than that.
Jon Langenfeld - Robert W. Baird: Okay, okay. Good color. And than lastly, can you just go back a little bit in what you talked about lastly John in terms of the layering in of the additional restricted stock grants. The expense that you have on a run rate today, there're some of that expenses associated with the ’03 grants and some is associated with the ’06 grants and then if you were to give additional grants at the end of this year, by the time you get into next year then you would have basically thee layers of expenses, is that how we should look at it and that's why it would be an additional expense as a percent of revenue?
John P. Wiehoff - Chief Executive Officer and Chairman of the Board: Let me let Chad talk to that one.
Jon Langenfeld - Robert W. Baird: Okay. Great.
Chad M. Lindbloom - Senior Vice President and Chief Financial Officer: Okay. The ’03 grants were fully vested by '06. So, there was a no overlap between the ’03 grants that started vesting in ’03 and the grants that started vesting in ’06 because we did have high growth rates so they fully vested within three year. The '06 grants just like the ’03 grants have up to five years to vest and again the simplified way of looking at the vesting formula is take our growth rate and earnings, add 5% to it. And that's the percentage they vest. So if we exactly meet the 15% growth in five years they would fully vest. We will not... chances are we will not be fully vested in the '06 grants before the next grant is given. So there may be two layers of grants. So the one that will be granted at the end of ‘08 that will begin investing in '09 and there will still be some... most likely still be some expense from the '06 grants.
Jon Langenfeld - Robert W. Baird: And that's why the percent... personnel expense as a percent of gross profit would go up because there are two layers in there versus the one?
John P. Wiehoff - Chief Executive Officer and Chairman of the Board: Yes, it is very difficult to know with certainty, if it will go up because the expensing is dependent on earnings growth.
Jon Langenfeld - Robert W. Baird: Yes.
John P. Wiehoff - Chief Executive Officer and Chairman of the Board: And how much it will go up, there we have two different variables because we don't know our earnings is going to be next year and we currently don't know the size of the grants that will be granted at the end of the year.
Jon Langenfeld - Robert W. Baird: Got it. Okay, thanks for the color, nice quarter.
John P. Wiehoff - Chief Executive Officer and Chairman of the Board: Thank you.
Operator: Thank you. Our next question is from the line of Justin Yagerman with Wachovia Securities. Please go ahead.
Justin Yagerman - Wachovia Securities: Hi, good afternoon, John, Chad and Angie. How are you doing?
John P. Wiehoff - Chief Executive Officer and Chairman of the Board: Good.
Justin Yagerman - Wachovia Securities: I guess you alluded to it but can you give a little bit more color on how many shares you guys bought back in the quarter and at what price?
John P. Wiehoff - Chief Executive Officer and Chairman of the Board: Sure, we bought back 780,000 shares at $53.71.
Justin Yagerman - Wachovia Securities: 780,000 at $53.71?
John P. Wiehoff - Chief Executive Officer and Chairman of the Board: Yes.
Justin Yagerman - Wachovia Securities: Okay. And when you think about dividend yield relative to what you were talking about in terms of managing the capital on your balance sheet, is there a targeted yield that you are looking to stay at or is there a level of cash that you're just kind of... you are going to make sure you are either using share buybacks or the dividend as a way for you to manage that cash level? I mean, how do you guys think about how much is allocated towards the dividend and is there a thresholds there, I guess to be more clear? And then I guess excess gets allocated to the share buybacks, is that the right way to think about it?
John P. Wiehoff - Chief Executive Officer and Chairman of the Board: Yes, we have, for the past three or four years we've had a targeted dividend payout ratio, so we don't manage it to yield, we manage it to a percentage of earnings and our targeted payout ratio is 40%. So, we view that as a less flexible way to adjust the amount of cash returned to shareholders and use the share repurchase as a more flexible way that will flex up and down given cash needs and cash flows. So, we look at our share purchases quarterly and adjust those quarterly. We adjust our dividend annually the amount but it's based on a consistent policy.
Justin Yagerman - Wachovia Securities: Understood. Do you rethink that policy in the context of what we are experiencing in the credit markets currently where you discussed that your yields on investments aren't giving you what you historically looked for?
John P. Wiehoff - Chief Executive Officer and Chairman of the Board: We are... we do consistently analyze and discuss how much cash we should carry on the balance sheet. And as we talked about many times there are some advantages to having the cash, and yes, right now with yields lower it's less attractive to shareholders to sit on cash. But we think we will continue to analyze it and we may change the policy in the future. But it's difficult to predict.
Justin Yagerman - Wachovia Securities: Okay. Switching focus, looking at volume growth in the quarter, continuing impressive trends off of the results you posted in Q4, obviously significant acceleration on a year-over-year basis for volume growth, can you give a little bit more color around that? Was it more in the truckload side, on the less than truckload side, was it generally across the board? And maybe underlying that is that a bigger driving force because of the price that you are able to offer, your customers, given the capacity that you're tapping or is it an increased flight of that capacity towards your platform, which outsources some of their back-office needs? How are you thinking about this increased volume growth that you're experiencing, especially given that that’s likely market share in such a weaker environment?
John P. Wiehoff - Chief Executive Officer and Chairman of the Board: Well, there were a lot of good questions buried in there. I guess, for starters, we did put in the press release that our LTL transaction or volume growth was around 30% and the truckload was around 15%. So there was variances in volume growth rate by the different modes and similar to what we discussed at year-end, even within the truckload category, some of the areas like flatbed that we've been concentrating on more and building our expertise in the last few years grew faster than the average truckload rate. So, yes, there is variances across it. A lot of the things that we discussed on our last call, kind of going into 2008, I still think are probably the laundry list of reasons as to why we feel we were successful at growing our volume when the industry probably isn't growing in overall volumes. And it starts with kind of the long-term relationship commitments and what we're doing to hopefully better understand our shippers and our carriers from an account management standpoint and working with them to try to help manage rising fuel cost and sourcing capacity. There is a lot of tension and turmoil because of fuel and different things in the marketplace. So we just believe that as a long-term focus, having good people, building the relationships, offering a greater menu of services and choices around modes and different processes and we didn't go back to it because we beat on it pretty hard at year end and in our last call that it's really just the accumulation and we believe it's the accumulation and tying together of all of that that's allowing us to be successful.
Justin Yagerman - Wachovia Securities: Yes. You had an interesting comment in both your prepared remarks and in the press release that higher fuel, you believe contributed to the lower year-over-year gross margins. And I just kind of wanted to ask you I guess that's a factor of either... well, first of all fuel being higher and so fuel surcharge is going to be higher, but is there an aspect of paying more fuel surcharge to your broker carrier partners given how much hurt there is on those guys in this type of an environment?
John P. Wiehoff - Chief Executive Officer and Chairman of the Board: I think the biggest point that we're trying to emphasize is that for a lot of our volume and in a transactional marketplace the impacts of fuel and the impacts of the market get blurred together. And so therefore, like I said in the prepared comments, we're making estimates. But if you start... mechanically it really doesn't work this way but if you just say, hey there is huge increases in fuel that we are billing to customers and paying to carriers and passing through, billing and paying all those dollars would pass through a lot without any incremental margin and lower your gross margin percentage. There are some ways that you can sort of prove that if you have matching fuel surcharge formulas that would be a pure pass through, but in practice we have very little of that whereas actually aligned like that. So, you are actually making assumptions about what's happening to fuel and what's happening to rates on both sides of it. In the long term you have to assume that it's an operating cost just like every other element of transportation and is going to adjust and pass through. In the short-term, both sides of the equation feel like ... fuel is the thing that is easiest to focus on for being a reason why you are unhappy with the rate or your return or your yield or any of those sort of things. So, it's tough to isolate the impact of it especially from our vantage point into the market but we try to give a flavor for the fact that it is significant and it does kind of roll through a lot of different impacts or aspects of our financials.
Justin Yagerman - Wachovia Securities: So if I'm understanding you correctly, I mean it's almost like the sourcing business where as commodity prices go up and the dollar value of the transactions may be higher. So you may have a bigger dollar value falling to the bottom line but your margin gets down a little bit?
John P. Wiehoff - Chief Executive Officer and Chairman of the Board: Absolutely. And it's precisely why for the last 10 years that we've been a public company that we have said probably net revenues or gross profits is a better focal point of the true growth rate because the price of broccoli and the price of fuel affects our gross revenues in very difficult to anticipate ways and maybe isn't the best measure of the value that we are adding.
Justin Yagerman - Wachovia Securities: Okay. That makes a lot of sense. And then I guess from a carrier perspective, are you doing an increased amount of business with more carriers in this environment or are you doing, I mean, I'm not really trying to get at the capacity issue, I am actually curious if you're seeing more carriers blocked to your platform in this environment because of the back office and kind of accounts receivables management that you guys offer.
John P. Wiehoff - Chief Executive Officer and Chairman of the Board: We continue to see a lot of new carriers signing up to our network, the challenge for us is that we also see a lot of carriers dropout. There are bankruptcies that we know of, there are carriers that just don't do business with us anymore. So, for any one short period of time like even a quarter it's difficult to really gauge, but there is no question that we are signing up hundreds of new carriers each month and feel like we do have a pretty appealing platform for them to get access to freight and cash advances and for fuel in different aspects of it. So we feel as good as ever about what we are offering the carrier community and our ability to attract new ones. But we also know that it's a tough environment out there right now and so we can't ensure financial success for everybody who we work with but we think we have a good program.
Justin Yagerman - Wachovia Securities: Okay. Well, thanks for the time guys. I appreciate it as always.
Operator: Thank you. Our next question comes from the line of Thomas Wadewitz. Please go ahead with your question.
Thomas Wadewitz - J.P. Morgan: Yes, good evening. Hi John, hi Chad.
John P. Wiehoff - Chief Executive Officer and Chairman of the Board: Hi.
Thomas Wadewitz - J.P. Morgan: Let's see, I wanted to see if I could try to get my arms around the strong growth you're seeing in the volume side amidst what seems to be such a weak market and maybe if you could provide some thoughts of how this time around you are able to grow in such a weak market. If I look back at 2001 and 2002 you're probably still taking a lot of share but gross revenue growth in transportation was more on the order of 8% to 9% and so what do you think is really different this time around versus '01, '02 on the volume growth side?
John P. Wiehoff - Chief Executive Officer and Chairman of the Board: I think it's probably a lot of little things or maybe a lot of things that add together. There is no question that we have a more established reputation in the marketplace today that our scale and offerings are more substantial than they were ten years ago or seven years ago or whatever. We also know that there probably are different attitudes in the carrier communities these days about who is adding capacity and even financing availability for medium and large carriers to add a lot of equipment might be different than it was during that period of time. So there could be some underlying shifts in make-up of the capacity in terms of who is more inclined to work with us. I know that, a part of our equation for growth is whether our people and our systems can be part of the answer for a shipper rather than doing it themselves. And it's tough to measure that aspect of it. But I know that most companies aren't anxious to add people or spend money on technology today and we are. We are making that investment so that hopefully we can help out the customers with it. So that whole outsourcing aspect has a lot of different angles and matured aspects to it. And there is probably a bunch of other things but I don't think you can put your finger on one thing. We believe it's a bunch of things like that that all wrapped up in that long-term focus that I talked about before of continuing to open new offices and invest in new services and tie it all together.
Justin Yagerman - Wachovia Securities: Okay. That's helpful. I appreciate that. I mean I guess the next step to that chain of logic would be if you're able to sustain this high level of volume growth in truckload in LTL then perhaps you wouldn't see a slowing in earnings growth like you did if you go back to 2002, I think you had about 10% earnings growth which is great but that's a bit... obviously a bit slower than you typically see. So do you think it's reasonable to think that maybe you wouldn't see the dip in earnings growth to the extent you did last time?
John P. Wiehoff - Chief Executive Officer and Chairman of the Board: I think it's really hard to predict that. And you know the big wildcard in all of this is the freight demand and what's happening in the economy. And I don't remember in '01 and '02 exactly what freight volume and demands were doing quarter-by-quarter. But one of the things that I think has been pointed out across the industry quite a bit that even though there is some difficult things going on in the economy and the environment the best data that we have is overall volumes are not that far down like low single digits. So you could see scenarios where overall freight demand and shipment levels drop quite a bit more or you could see where they rebound back up through the remainder of the year. And I think without kind of getting very specific quarter-by-quarter or understanding that that's probably the biggest wild card in this that's going to drive the future results and where the earnings actually go. And it's so hard to predict.
Justin Yagerman - Wachovia Securities: Right, okay. That's helpful. Well, there is one... the one last one, if I can here, on the impact of expected capacity reduction, have you seen any early impact on your gross margin from that? It kind of sounds like you haven't, but if the capacity really starts to leave the market given how difficult it is for the truckload carriers right now, that might be something which would put a little further pressure on the gross margin later this year. What would your thoughts be on that topic?
John P. Wiehoff - Chief Executive Officer and Chairman of the Board: Carrier failures or carriers stress will ultimately be part of the correction process where the overall capacity shrinks and then like I just said the biggest variable or movement in that thing will be the freight demand. And I don't know when, but at some point freight demand will probably jump back up and depending upon just how much capacity reduction there has been and how much strain there has been, you will see price increases or shortages of capacity. And we.. what we have seen to date is we know that some carriers have been unable to make it. We know that many of them are taking more advantage of quick pay programs or cash advances for fuel and that... it's not as easy to be successful or profitable as it was a year or two ago. As far as how and when that carrier failure rate will become a bigger impact to us or the market are ultimately drive those supply and demand pricing corrections. It's probably more dictated by the freight levels or the demand, that's the more volatile piece.
Justin Yagerman - Wachovia Securities: Okay. Great. Well, congratulations on the strong results and thank you for the time.
John P. Wiehoff - Chief Executive Officer and Chairman of the Board: Thank you.
Operator: Thank you. Your next question is from the line of Alex Brand with Stephens. Please go ahead.
Alexander Brand - Stephens Inc.: Thanks. Hi, guys and Angie.
Angie Freeman - Director of Investor Relations: Hello.
John P. Wiehoff - Chief Executive Officer and Chairman of the Board: Hi, Alex.
Alexander Brand - Stephens Inc.: Let me just do housekeeping. First, the tax rate, Chad, is it going to stay this low at under 38%, you think?
Chad M. Lindbloom - Senior Vice President and Chief Financial Officer: Yes. I think our overall effective rate we used to talk about what we expect it to be between 38% and 38.5%, probably move that down to 37.5% to 38%. Illinois, which is a state where we have a lot of people and a lot of business change the way that they are apportioning incomes and how much ends up in Illinois, and the change in Illinois had a big favorable impact to us of between a half and three quarters of a percent on our overall effective tax rate.
Alexander Brand - Stephens Inc.: Okay. And what about... what's the approximate percentage of the LTL’s total truck?
Chad M. Lindbloom - Senior Vice President and Chief Financial Officer: It's still around 10% or a little bit more than 10% and again that's based on what we know as pure LTL that moves on LTL carriers. We also internally classify some of our other businesses, LTL, where we are consolidating and moving on a truckload carrier.
Alexander Brand - Stephens Inc.: Okay. And your favorite question every quarter, was there any sort of trend throughout the quarter progression that we should be aware of?
Chad M. Lindbloom - Senior Vice President and Chief Financial Officer: Nothing material when you look at it one a day-by-day basis. March finished strong like March is always the strongest month of the quarter. But from a growth perspective over the previous March the growth was no greater than it was in the earlier month.
Alexander Brand - Stephens Inc.: Okay. And then I think I understand on the cost side of the equation, on the labor side you have a variable incentive comp plan. So stock comp comes down and that's the way your model works. But on the SG&A I guess, I'm not exactly clear, what's the investment, I mean, is there a level of SG&A ramp up that you are going to go through for the balance of this year or is this going to kind of level off --?
John P. Wiehoff - Chief Executive Officer and Chairman of the Board: The investment is things like new offices, new systems those sorts of things that tend to correlate more. We had more meetings and more travel, I think our people are outselling and traveling, our T&E. Travel and entertainment was up pretty meaningful. So, you put that sort of thing together and basically we're adding people, we're adding locations, we're adding occupancy and taken on more space and a lot of those expenses tend to correlate more with volume, then margin. So we think this was kind of a high quarter in terms of our percentage but... I don't know, Chad if have any thoughts about what the percentage will level off during the year. But, I think it's important to understand that many of those expenses are driven by our investment in the network and growing out the physical locations.
Chad M. Lindbloom - Senior Vice President and Chief Financial Officer: Yes, we do have approximately 20% more square feet than we did a year ago as an example. So it’s just based on the timing of when the leases come up and when people add people. So every time we take on a new lease, it obviously take on significant growth space. We added our new headquarters building six months ago. So we are halfway through cycling that into the expense.
Alexander Brand - Stephens Inc.: Okay. And what are you guys seeing in terms of interest in shippers to lock up capacity. Is that… the bid actively moving towards, give us, two to three years now before capacity comes out?
John P. Wiehoff - Chief Executive Officer and Chairman of the Board: I have heard a couple of those types of request where people are considering locking in to longer-term contracts. But as we've talked many times before, those contracts are probably only as good as the relationships that you have because if market conditions change a lot over the next couple of years, you still have to hope that you can actually execute under those rates so that the capacity will actually show up and move your freight. So I think more than ever there is a lot of discussion about what's going on in the market trying to manage fuel prices. Some trend certainly towards longer-term price commitments, but not anything dominant by any stretch.
Alexander Brand - Stephens Inc.: And John, you've kind of answered a number of questions about capacity and gross margins, but what do you think the model does if you are in a situation where capacity is coming out and that your volumes are weakening? Is there an offset there or do you just have to get squeezed and sort of write through it?
John P. Wiehoff - Chief Executive Officer and Chairman of the Board: We make it squeezed a little bit. Part of... it's interesting as we have been analyzing and digesting our results for the last couple of years. In some respect the supply and demand and margin expansion and contraction is very similar and very comparable to what's happened in the past. We’ve talked the last two years about price increases being higher than any time since deregulation. I don't think we've never seen a quarter with fuel prices moving this dramatically and so it's hard to understand exactly what impact those had and how it will change. So if the economy gets real soft and volumes are declining and capacity is leaving and our margin are contracting, yes, that could be a tough environment for us that we just have to write out for a period as you say. But there are a lot of moving parts in the supply and the demand and the pricing and the rates and the fuel and shipment levels that... there are a lot of moving parts to what each period is going to look like.
Alexander Brand - Stephens Inc.: Fair enough. Thanks a lot guys.
John P. Wiehoff - Chief Executive Officer and Chairman of the Board: Thank you.
Operator: Thank you. Our next question is from the line of Jason Seidl with Credit Suisse. Please go ahead.
Jason Seidl - Credit Suisse: Good evening, guys. Chad, quick question for you. I know you mentioned, I think I missed it. Your changes in operating elements in your cash flow line, could you remind us again why it went from cost of, what do you say $41 million to about $80 million?
Chad M. Lindbloom - Senior Vice President and Chief Financial Officer: Sure, a lot of it, the balance of our accounts receivable is generated based on gross revenues. So the price of fuel and the fact that gross revenues are up 0.6% for transportation and 22% overall or 23% overall, definitely grew the bulk of the increase in receivables. And then also when you look at the fourth... or the first quarter days of sales outstanding compared to a year-ago we lost to date, March compared to March. So instead of being at 45 days or at 46 days. So again we feel really good about our ageing and the quality of our receivables but people aren’t paying on an average about a day slower than they were last year's first quarter.
Jason Seidl - Credit Suisse: Okay, that's fair enough.
Chad M. Lindbloom - Senior Vice President and Chief Financial Officer: And then also the payables did not grow as fast as receivables because as John mentioned that in his prepared remarks that people are taking more advances [inaudible] and a big part of that is because they need money for fuel to allow their driving instead of being able to wait till [inaudible].
Jason Seidl - Credit Suisse: My next question just relates to some of the... the truckload volume is obviously 15%, still pretty good. We heard a truckload carrier today just talk about how they needed to reduce their percentage of broker business and that they are already starting to do that. Do you think that's something that may be pervasive out there in the truckload industry looking to reduce a little bit of exposure to the brokerage business to keep some of it more in-house?
John P. Wiehoff - Chief Executive Officer and Chairman of the Board: I think each carrier probably has their own philosophy as to what’s desirable freight and so that would vary carrier by carrier. Obviously, we are seeing increases with some carriers and not with others. I think often times as I tried to allude to in my prepared comments, terms like brokerage freight probably means a little bit different things to different people because oftentimes people are referencing brokered freight as transactional freight that may be is at a more current market rate which may not be as desirable as the contractual rate that they locked into a year ago. And so the market pricing and whether or not there is an itemized fuel competent, all of those can factor into the perception or the interpretation of the desirability of the freight. So a big part of what we focus on is we won't use that label as a category of freight. It's really more about what the commitment to the customer is and what the pricing arrangement is. And I think most carriers are realizing that for parts of the market the market is soft and rates are dropping but fuel prices are rising and so how you route your equipment and the freight that you accept and how you look at the economics of your business has to adjust for those variables.
Jason Seidl - Credit Suisse: And just sort of add on to your comment there that the parts of market you are seeing prices drop, could you tell us the end markets where you are seeing prices dropping, because we have seen, I guess an overall sort of leveling off of the price declines out there in the marketplace, at least from some data that we've been looking at, on the truckload side.
John P. Wiehoff - Chief Executive Officer and Chairman of the Board: A - John P. Wiehoff>: I don't really have any good color in terms of what regions or lanes. For us our business is pretty widespread and I don't really have any examples or specifics around where it may have softened. But I do know that because of rail impacts and because of produce seasons and different fluctuations in supply and demand, many of which are sort of repetitive of seasonality from other years it changes lane by lane all the time. So it's hard to isolate any one piece of it.
Jason Seidl - Credit Suisse: Okay, fair enough. Everyone, thanks as always, for the time.
John P. Wiehoff - Chief Executive Officer and Chairman of the Board: Thank you.
Operator: Thank you. Our next question is from the line of Ken Hoexter with Merrill Lynch. Please go ahead.
Ken Hoexter - Merrill Lynch: Hi, good afternoon. Chad, just on the tax rate, is that a permanent shift on the Illinois shift that you were talking about?
Chad M. Lindbloom - Senior Vice President and Chief Financial Officer: And I’ll say change the tax law again, yes, they basically made a permanent switch. It used to be... they used to apportion revenue based on where the people thought that we're generating the revenue and they changed it so where the goods or services are consumed. We have a greater percentage of our people sitting in Chicago than we do freight terminating in... or terminating in Illinois, I should have said Illinois both times, but Chicago is the biggest part of it.
Ken Hoexter - Merrill Lynch: Okay. Just a couple of numbers question. Your employers actually were up 9%, almost 10% in the quarter on a year-over-year basis, it accelerated the rate of increase. There were no acquisitions in the number though right, this was a clean quarter?
John P. Wiehoff - Chief Executive Officer and Chairman of the Board: There were acquisitions... there was an acquisition during the year last year. So, if you're looking at the first quarter compared to first quarter, those heads would be in there.
Ken Hoexter - Merrill Lynch: But I guess it accelerated the rate of increase even if I look at fourth quarter, which they would have been on a year-over-year basis, it looks like the --?
John P. Wiehoff - Chief Executive Officer and Chairman of the Board: There was no acquisition in the first quarter if that's your question.
Ken Hoexter - Merrill Lynch: Yes. But then if I take that one step further and I look at the net revenue per employee and I think the first question was asking something like this. But your net revenue per employee slowed to like a 3.5% growth rate. So it's still growing but at a decreasing rate I guess slowing utilization. There you always say hiring is always a local decision. I mean I guess how do you look at that in looking at the kind of the additional net revenues slowing at such a decelerating rate?
John P. Wiehoff - Chief Executive Officer and Chairman of the Board: I already talked about for a long period of time on how long term it's going to take more employees to do more net revenue and we are going to try to gain efficiencies. But we expect that our heads will grow close to our transaction or volume, or our net revenue numbers. So, when you look at it on quarter-by-quarter basis, it's going to fluctuate around based on how many offices are ahead on hiring, versus behind on hiring. So, it's going to be variable, it's not going to be constant. But the trend is they'll take more people, they do more business. But hopefully we can become more efficient also.
Ken Hoexter - Merrill Lynch: Okay, last question I have is on the buyback, you talked a lot about the cash before. Why did you have such a pullback on the buyback if your theme is to use that fluctuating cash? I know you said you like to have cash on the balance sheet but once you're topping $350 million, you slowed it down from the mid 40s down to low $30 million buyback level?
Chad M. Lindbloom - Senior Vice President and Chief Financial Officer: Yes. If I remember right in the fourth quarter, we bought back 800,000 shares and we bought back 780,000 this year or this quarter.
Ken Hoexter - Merrill Lynch: Okay. So it's more, from your point of view it's not a dollar amount, it's a number of shares?
Chad M. Lindbloom - Senior Vice President and Chief Financial Officer: We just... well, we started with the dollar amount and then back into how many shares we think that's going to be. But I think on the cash flow statement, it always shows net share repurchases. So, the different part of the difference there might be how many shares were issued is through incentives. How many people exercised stock options basically.
Ken Hoexter - Merrill Lynch: Okay, okay understood. Thank you Chad.
Operator: Thank you. Our next question is from the line of Ed Wolfe with Wolfe Research [ph]. Please go ahead.
Unidentified Analyst: Thanks, good afternoon guys.
John P. Wiehoff - Chief Executive Officer and Chairman of the Board: Hi, Ed.
Unidentified Analyst: Couple of things. How much of the 23% gross revenue growth would you say is attributed to fuel? You said a lot of it John but I didn't get a number or an estimate or a direction?
John P. Wiehoff - Chief Executive Officer and Chairman of the Board: Well, if you take the largest revenue category of truckload services, the breakdown was 15% volume and 8% price and the component of price that was attributable to fuel was more than the 8%. It would have actually been down. So, if my math is correct, I would say about 40% of that growth in our largest category came from fuel.
Chad M. Lindbloom - Senior Vice President and Chief Financial Officer: Yes, the fuel impact of per mile truckload rates was something between... right around 9%. I also know that fuel went up on ocean as well, probably close to that same number as a percent?
Unidentified Analyst: Okay.
Chad M. Lindbloom - Senior Vice President and Chief Financial Officer: And probably in that 8%, 9%, 10% range.
Unidentified Analyst: Thank you. That's helpful. If I look at the 130 basis point of year-over-year gross yield deterioration, how much of that would you say is fuel and how much of that’s tighter capacity than a year ago? You had mentioned some bankruptcies and things like that, John?
John P. Wiehoff - Chief Executive Officer and Chairman of the Board: That part is indecipherable.
Unidentified Analyst: Would you say there is some part that's beyond fuel?
John P. Wiehoff - Chief Executive Officer and Chairman of the Board: Yes. It's the gas, but yes.
Unidentified Analyst: And when you mention bankruptcies, are you seeing that that's actually getting worse, it's getting harder to find capacity or the number of carriers in your stable is going down or is it not changing that dramatically, directionally in the last couple of months?
John P. Wiehoff - Chief Executive Officer and Chairman of the Board: We were able to find capacity for whatever freight commitments that we had. So it's not accelerating to the point of making it more difficult at this point, for us to find capacity which is anecdotally and interacting with our branch network, they were seeing more carriers that they had been doing business with dropping out of business or filing bankruptcy because of continued challenges with profitability.
Chad M. Lindbloom - Senior Vice President and Chief Financial Officer: But we used roughly the same number of different carriers in the first quarter of '08 compared to the fourth quarter of '07. So there is definitely some churn in there but it's still just thousands and thousands of different carriers that move our freight.
Unidentified Analyst: Thank you. And from a shipper’s perspective, are the shippers starting to seek more contractual versus transactional moves. Are you seeing any change in that split?
John P. Wiehoff - Chief Executive Officer and Chairman of the Board: Nothing dramatic. As I mentioned the earlier, some shippers are being more assertive about looking for a longer-term contractual commitment, trying to take advantage of what might be the low point in the market or at least some price reductions compared to a short while ago. But I think most people are understanding that its a challenging market and it's going to be a volatile market and they are just trying to focus on better processes, better information, and long-term relationships.
Unidentified Analyst: Are you not seeing a bunch of people looking for a long-term commitments or anything like that all of a sudden? No, I mean, most shippers had always worked on some sort of an annual bid process and looking for 12-month rates. Most shippers do not have a set time when they do those bids they'll do them periodically. So as we've said over the last year or so, there certainly has been an acceleration in the number of bids that you see in the last four or five quarters relative to the years before that. Most shippers don't want to go out for bid when rates are rising because it's an opportunity for everybody to adjust upward on them. When rates are softening, you’ll see an overall increase in the level of bid activity. So that would be true. But we have not seen a wholesale shift towards people looking for more than a year or an all out philosophy change in terms of types of price commitments or contracts they're looking for.
Unidentified Analyst: Okay. Just changing gears, intermodal volumes, why are they so strong and why such a squeeze on pricing? And does that have to do with not owning the containers, do you think or controlling the containers?
John P. Wiehoff - Chief Executive Officer and Chairman of the Board: Changes in available capacity are definitely one element of it. So we... say the market if you will, or source capacity from public equipment or rail equipment. So there is definitely a variable associated with that but I would say that probably the primary driver is just our increased sales activity and market penetration of working with higher volume shippers and those higher volume contracts tend to come at more aggressive pricing.
Unidentified Analyst: So an internal drive to get the volume, it sounds like, is that fair?
Chad M. Lindbloom - Senior Vice President and Chief Financial Officer: Yes.
Unidentified Analyst: Okay. When I look at your interest income, I am backing into you are making about 0.6% in the money market. Should we think about that for the rest of the year or at some point do you get a little more aggressive with that money?
John P. Wiehoff - Chief Executive Officer and Chairman of the Board: Part of it is 100% on cash, it's on the balance sheet, is an earning interest I think in a given point in time. Also if you're just looking at the... our yield is higher than that. That's what I am trying to get across because when you look at the end of the year's balance and then the end of the quarter on an average then that doesn't work in the first quarter because we pay out significant bonuses and profit sharing in January. So our balance gets way down and then comes back up. But as far as the yields being lower, yes, they are definitely lower than last year. We went ultra-conservative during the first quarter and we were all the way back into treasuries for a while and now we are starting to get slightly more aggressive, we are going back into some unibonds and some uni money markets. So it should bring the yield up a little bit.
Unidentified Analyst: Okay, that makes sense. And you expect the capital, the working capital come back positive this quarter despite the one-day fewer, I guess, a fewer day probably helps you with Easter?
John P. Wiehoff - Chief Executive Officer and Chairman of the Board: It's very difficult to predict exactly where our working capital is going to end up. It depends on volume growth, it depends on timing of business within a quarter. As you know, in the fourth quarter, the last week was the slowest week, the last two weeks. So, our working capital really gets... looks really good when you compare it to the whole quarter's gross revenues. In the first quarter is the busiest week. So part of the ramp up is due to that. As far as over a whole year period of time it is going to fluctuate up and down but consistent with previous years it is going to depend on timings of days or the week and many other things.
Unidentified Analyst: Okay. One last knit pick, it's hard to knit pick on your quarter, but I'm going to try. The SG&A up 70 basis points year-over-year as a percentage of revenue while personnel expenses were improved to 70 [ph]? Is there any reclassification or anything that's different here that we should think about ongoing?
Chad M. Lindbloom - Senior Vice President and Chief Financial Officer: There is no real reclass at all when we cover some of the SG&A expenses that were growing faster than net revenues earlier. Our operating expense categories are consistent between those two lines the previous year.
Unidentified Analyst: So why is the SG&A 70 bps whereas we haven't seen that from SG&A for some time?
Chad M. Lindbloom - Senior Vice President and Chief Financial Officer: We covered it earlier, occupancy, travel and entertainment, some provisions for receivables associated with volume growth. There is probably 40 different categories that we go through there, many of which are discretionary that we had more manager meetings and traveled more during this quarter probably than any time during our history. So a lot of it is just... I guess I'd like to summarize them as investments in the business that we are building out the network of offices and investing in the relationships, opening new offices, putting in new data lines, buying new servers and new headquarters all those sort of things.
Unidentified Analyst: Okay. All good. Thanks a lot. I appreciate the time.
Chad M. Lindbloom - Senior Vice President and Chief Financial Officer: Thank you.
Operator: Thank you. Our last question is from the line of Matt Troy with Citigroup. Please go ahead.
Matthew Troy - Citigroup: Yes. I wanted to circle back on the acquisition front and your focus on optimizing capital. I was curious to hear your thoughts in the potential deal pipeline given the lack of private equity interest in the pinch of a slower economy and higher fuel costs. You had seen a greater number of opportunities and more reasonable valuations and your due diligence we would be more opportunistic if the environment is a bit more favorable and where do you see yourself and see your profits [ph] getting the most return or [inaudible] bank for your M&A buck if we think about where you might be doing potential deals on a go-forward basis.
John P. Wiehoff - Chief Executive Officer and Chairman of the Board: I think for the last couple of years we've talked about the fact that while we are open in all of our different strategies and growth areas that probably the biggest bank comes from getting into geographic territories where we don't have a strong presence today. So building out the global forwarding network and being able to open offices and offer services in parts of the world like Europe and Asia where we don't have any presence today. If we can get a good return on a stand-alone investment as well as strengthen our network by adding additional competency to it and additional locations to it is probably on the top of the hierarchy of where we think we can get a good return. But beyond that we will look for pure market share, opportunities in truckload and intermodal or any of the other services that we offer just where we think we can add to the team through better people and better relationships. So we've had a fairly, I would say, in terms of the volume of deal flow that may have remained relatively constant but certainly there is a change in the marketplace in terms of pricing expectations and competitive attitudes on deals, probably fewer kind of roll-ups going on, if you will, with financial buyers and stuff. So, our hope is that we would see more deals that we can get completed in the future.
Matthew Troy - Citigroup: Do you have any kind of bandwidth restriction or bookings for deal size? I know fit is foremost, but is there a ceiling or theoretical limit in terms of size we should think about, roughly?
John P. Wiehoff - Chief Executive Officer and Chairman of the Board: No.
Matthew Troy - Citigroup: Okay. Appreciate it. Thank you.
Angie Freeman - Director of Investor Relations: We cannot get to all the questions today. Thank you for participating in our first quarter 2008 conference call. This call will be available for replay in the Investor Relations section of the C. H. Robinson website at www.chrobinson.com. It will also be available by dialing 800-405-2236 and entering the pass code 11111110#. The replay will be available at approximately 7 PM Eastern Time today. If you have additional question please call me, Angie Freeman at 952-937-7847. Thank you.
Operator: Ladies and gentlemen, this concludes today's conference. Thank you for your participation and you may now disconnect.